Operator: Good afternoon, ladies and gentlemen. Welcome to the Penske Automotive Group Second Quarter 2021 Earnings Conference Call. Today’s call is being recorded and will be available for replay, approximately one hour after completion through August 4, 2021, on the Company’s website under the Investors tab at www.penskeautomotive.com. I will now introduce, Anthony Pordon, the Company’s Executive Vice President of Investor Relations and Corporate Development. Sir, please go ahead.
Anthony Pordon: Thank you, Sarah. Good afternoon and thank you for joining us today. A press release detailing Penske Automotive Group’s second quarter 2021 financial results was issued this morning and is posted on our website along with a presentation designed to assist you in understanding the Company’s results. As always, I’m available by email or phone for any follow-up questions you may have. Joining me for today’s call are Roger Penske, our Chair and CEO, Shelley Hulgrave, our Chief Financial Officer; and Tony Facioni, Vice President and Corporate Controller. Our discussion today may include forward-looking statements about our operations, earnings potential, outlook, future events, growth plans, liquidity and assessment of business conditions. We may also discuss certain non-GAAP financial measures such as adjusted income from continuing operations and related adjusted earnings per share, earnings before interest, depreciation and amortization, or EBITDA and adjusted EBITDA. We have prominently presented the comparable GAAP measures and have reconciled the non-GAAP measures in this morning’s press release and investor presentation, which are available on our website to the most directly comparable GAAP measures. Our actual results may vary because of risks and uncertainties outlined in today’s press release, which may cause the actual results to differ materially from expectations. I direct you to our SEC filings, including our Form 10-K, for additional discussion and factors that could cause results to differ materially. I’d now turn the call over to Roger.
Roger Penske: Thank you, Tony. Good afternoon everyone, and thank you for joining us today. I'm pleased to report all-time record second quarter results for PAG. These results were driven by outstanding performance across all parts of our business. Our revenue increased 91% to $7 billion and income from continuing operations before taxes increased 658% to $464 million and income from continuing operations increased 653% to $339 million and related earnings per share increased 650% to $4.20. Earnings growth was driven by strong business conditions across all areas of our operations, including stronger unit sales, higher gross profit per unit retail, increasing service and parts gross profit, and the continuing expense leverage and lower interest costs. I'm particularly pleased today with the continued expense discipline, driving an 1,860 basis point improvement in SG&A as a percentage of gross profit to 63.4%. Additionally, earnings before taxes from our commercial truck dealerships, improved 172% and the earnings from Penske Transportation Solutions, increased 243%, demonstrating the strength of the company's diversified business model. Looking at our retail automotive operations. On a same-store basis for Q1, 2021 versus Q2, '20, unit sales increased 82% to $131,000. Our new was up 92% on a same-store basis. Used was up 75%. Retail revenue increased 98%, new vehicles up 105%, used vehicles up 99%. Our finance and insurance increased 119% and service and parts was up 60%. Our gross profit increased 124%, including a 69% increase in service and parts. Variable gross profit increased 45% to $5,169 per unit, compared to $3,562 a unit. Comparing Q2 2021 to Q2 2019, same-store retail revenue, units increased 6%, revenue increased 23%, new unit vehicle was up 26%, used vehicles up 26%. Finance and Insurance was up 29% and service and parts was up 2%. Our gross profit increased 35%, including 5.5% in service and parts. I might note that during the second quarter of 2021, we experienced showroom closures in the UK and Europe, which obviously impacted our comparisons. We opened two locations for CarShop during the second quarter, and we now operate in 19 locations. During the second quarter, CarShop unit sales increased 184% to 18,742 units and revenue improved 208% to over $400 million and gross profit per unit retail increased 17% to $2,700. We improved vehicle sourcing by increasing the volume of trade-ins purchased, and also from the consumers, and our franchise dealership using our proprietary internal online transfer portal. Based on current sales rates since reopening in the UK, SuperCenters showrooms on April 12th, we're forecasting a current run rate approximately 80,000 units annually. Turning to our retail commercial truck dealership business. Premier Truck Group represented 9% of our revenue and the return on sales in the quarter was 6.3%. During the quarter, we completed the acquisition of Kansas City Freightliner, which is expected to add $450 million in annualized revenue. We sold over 4,100 new and used trucks and vehicle margins increased versus the same time last year due to stronger market conditions. Same-store service and parts gross profit increased 18%. Total service and parts operations represented 65% of the total gross profit and fixed cost absorption was 133%. As a result of these items our earnings before taxes for Premier Truck increased 172% to $39.7 million for the quarter. The Class 8 commercial truck market remains very strong as expected to continue for the near future. During the second quarter, North American Class 8 net orders increased 205%, retail sales increased 63% and the backlog increased to $253,000, which represents approximately a 10-month supply. ACT Resource is forecasting a 29% in retail sales increase to approximately 300,000 units, compared to 233,000 in 2020. We expect the strong market will provide tailwinds to our commercial truck and our truck leasing businesses for the remainder of 2021 and 2022. Moving on to Penske Transportation Solutions. As you know we own 28.9% of PTS, which provides us with equity income, cash distributions and cash savings. PTS currently operates a fleet of over 330,000 vehicles. In Q2, PTS generated $2.8 billion in revenue, an income of $354 million or a return of 15.4% on sales. As a result our equity earnings increased 243% to $102.5 million. Our full-service leasing and contract sales were up 11%. Our Commercial rental revenue was up 62%. We had a utilization all-time high of 87%. Consumer one-way rental was up 71% and the demand remains very strong. Our logistics increased 45% including the recent Black Horse Carriers acquisitions, which we expect to add at least $600 million in revenue for PTS this year. The gain on sale of used trucks is up 245% to $45 million, a strong freight environment and shortage of buy of used trucks and new trucks is driving demand for used vehicles. I'd now like to turn the call over to Shelley Hulgrave who assumed the Chief Financial Officer role on June 1st to discuss the balance sheet and cash flows. We're very fortunate to have someone with her experience and tenure with our company to assume the CFO rule. Shelley brings significant financial management expertise and experience and strong leadership qualities and will benefit the company into the future. Shelley?
Shelley Hulgrave: Thank you Roger. Good afternoon, everyone. I'm pleased to accept this role. Having been the Corporate Controller over the past six years and spent 15 years in total with PAG. I look forward to continue working with our team and each of you and the exciting opportunities in front of us. Looking at the PAG balance sheet and cash flows, the balance sheet remains in great shape. At June 30th, we have $165 million in cash and we ended the second quarter with approximately $1.1 billion in liquidity under our credit agreement. When looking at our capital allocation, we maintain a disciplined approach that focuses on opportunistic investments, capital expenditures to support growth, delivering a strong dividend to our shareholders, reducing debt whenever possible and share repurchases. Year-to-date we repurchased nearly 500,000 shares. And as we announced today, our Board of Directors increased the repurchase authority to $250 million. Year-to-date, we generated $917 million in cash flow from operations and we invested $91 million in capital expenditures, including $6 million to acquire land for future CarShop expansion. At the end of June, our long-term debt was $1.52 billion. We have repaid $842 million of long-term debt since the end of 2019. In addition, we've either repaid or refinanced our senior subordinated debt to lower rates, while lengthening the terms to take advantage of current market conditions. These initiatives have lowered our debt to total capitalization to 28.7% compared to 33.7% at December 31st and 45.6% at the end of 2019. Our leverage ratio sits at 1.0 times an improvement from 2.9 times at the end of 2019. At the end of June, total inventory is $2.9 billion which is down approximately $500 million from December 31 and June 30 last year. Retail automotive inventory is $2.3 billion. We have a 26 days' supply of new vehicles and we expect the current supply/demand imbalance to continue into 2022. Our days' supply of Premium is 30, while volume of foreign is 14. Used vehicle inventory is in good shape with a 38-day supply. At this time I will turn the call back over to Roger. 
Roger Penske: Thank you, Shelley. Moving on to our digital initiatives. We continue to grow expand and enhance our digital footprint including the introduction of new tools and technologies to offer our customer a hybrid customer-driven shopping model. Depending on their preferences customers can purchase either fully online, in-store or in a combination of the two. Last week we announced a fully automated technology platform to facilitate online retail sales of our used vehicles. This platform is driven by Cox Automotive patent pending artificial intelligence. It's currently being used exclusively at CarShop to provide consumers with the ability to complete an automated 100% online vehicle purchase. With this new technology customers can now perform the following 100% online: receive approval for financing; add aftermarket protection products; receive personalized payments for all eligible vehicles based on each consumer's credit profile including tax title and other fees; complete and electronically sign deal paperwork; make any required down payment and even we provide an online notary. We intend to expand and use this technology to our franchise dealerships as well. Looking at our other digital tools. We retailed almost 3,000 vehicles or approximately 4% of our US unit sales directly through preferred purchase and 14% of our customers use preferred purchase in some way during their buying journey. Using this -- the Buy Online tool in the UK a customer can reserve a car for £99, apply for financing, receive instant credit approval, obtain a guaranteed trade-in price and pay online all through our proprietary platform. During the quarter we sold 4,500 vehicles or 9% and of the UK unit sales using this platform. So when you combine our online buying tools in the US and the UK along with our online service scheduling and online pay and the new technology available at CarShop we have the tools to allow a customer to form any part of the transaction online to shorten their visit to the dealership. Let's look at corporate development. So far this year we've completed acquisitions totaling $600 million in annualized revenue. We opened a new Porsche dealership earlier this year in Washington D.C. and have two open points under construction. Combined the new points represent approximately $150 million in annualized revenue. We have another $700 million to $800 million in annualized revenue of deals in our pipeline representing retail automotive or commercial truck dealerships. We also opened two CarShop used vehicle supercenters this year to-date and plan to open four additional locations by the end of the year. We plan to execute our growth plan to increase CarShop footprint from its current 19 locations to 40 by the end of 2023. At this time, we expect CarShop will generate at least $150,000 in unit sales and $2.5 billion to $3 billion in total revenue doubling the size of the current business and we are targeting a 3.5% to 4% return on sales and $100 million of EBT. As we look across our diversified portfolio of businesses, we continue to target organic and acquisition growth as well as further operating efficiencies to continue to grow and expand our business. I'd like to thank our team for the outstanding results in Q2 producing an all-time record results for PAG. Thanks for joining us this afternoon on the call and your continued confidence. At this time, we'll open the call up to the operator for your questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of John Murphy with Bank of America. Your line is now open. 
John Murphy: Hi. Good afternoon, Roger.
Roger Penske: Hi, John.
John Murphy: Just a first question on sustainability of current market dynamics which is a tough one to answer. But I mean as far as the GPUs or grosses per vehicle and the very low SG&A or... 
Roger Penske: We lost you. Are you there? Operator, are you there?
John Murphy: Can you hear me? 
Roger Penske: Go ahead. We lost you. Why don't you go back? You talked about sustainability and then you went blank, sorry. Go ahead. 
John Murphy: Sorry. So if we think about the grosses which appear to be a little bit high at the moment and they might normalize over time as well as the SG&A to gross being very good performance right now but there's some concerns that that will inflate a little bit over time. I'm just curious if you could talk about the sustainability of those two parts of the equation. So, first on grosses and then second on structural savings on the SG&A side.
Roger Penske: Well, I think basically economics says low inventory obviously grows the demand and we get strong gross profits which I think will continue. The big question there is can we keep the discipline at the OEM level from the standpoint of days' supply in the 30 to 40 days, which I think many of them are talking to us about they see what it does for them from a profitability standpoint. And obviously it's been key for us at the dealer level. Obviously, if the growth comes down, that impacts SG&A. I think the most important thing is what we've done we've taken 11.5% of our workforce out we've reduced other costs significantly which has taken the SG&A down to 63.4%. And at the end of the day we will continue to commit to those types of reductions on our people. We're finding out we've got better productivity. Our mechanics are all over 120%. We see sales now per unit for a sales associate going from 9% to maybe 12% or 13%. And I think when we look in the service side, we see our vehicle maintenances down. John less longer cars, less comebacks, faster turn from the mechanics because of better mechanics are taking the work in today. So, I think from a parts and service standpoint we'll sustain and continue to grow that because we're really not at a point now where everybody is fully back driving. So, I think we have some leverage on SG&A. I think you're going to see some deterioration with that. You might -- we did a little bit of back of the envelope here this morning. We said we did 131,000 units and let's say at 5,200, it's about $66 million. And if you take $500 worth of gross out and then take 30% of commissions you'd end up probably with about $45 million of lost gross profit. And then you look at growing your parts and service business, up 5% would be about $25 million. So, we're really looking in the $18 million $19 million of lost gross even if we dropped our margin to $500 to say would be 10%. And I think with the increased opportunity in parts and service acquisitions we're making that we can earn that back. But it's easy to say, but I think that just gives you a little bit of sense on some of the elasticity on the growth side.
John Murphy: Yes, that's incredibly helpful. And then just a second question on the used car opportunity. I mean obviously, CarShop, you're looking to double -- a little bit more than double the store count. But you also have this relationship or I mean system that you're running with Cox in CarShop. The way you're talking about the CarShop business it's almost like a linear increase with the store base as opposed to getting any real power with online tool from Cox or what that Cox tool might mean for your dealerships directly on used cars. So, I'm just curious as you think about that business and not to say you're undershooting, I appreciate the conservatism and realism. But I mean is there a much bigger opportunity for you on the used side as you grow the network, maybe you get a little bit more productivity out of the existing stores? And then you're kind of turbocharge it with the online efforts?
Roger Penske: Well, I think we all have to look at what we look at as a retail sale used cars. I mean we're operating at about $2,700 per unit if we look across our network today and I think the growth that we've had has been excellent. We've been shut down obviously with showroom shutdown in the UK, we had the shutdowns in Pennsylvania here last year. So, we've had some noise in the system. From the standpoint of the Cox tool, I think I mentioned it before we looked at the landscape and quite honestly, when we look at used cars online, we look at technology it's pretty much going to be plain vanilla as we go forward. And to me, we wanted to partner with someone that had the toolbox that could help us to be able to construct something would give us 100% digital transaction. And we've had our preferred purchase tool for years which they've been working with us on. And what we did is we brought our human capital our domain expertise, they brought their toolbox and their capability together and we said we want to build the best tool in the industry. And I think when you look at that, it's unique technology, it features obviously the ability to compare multiple vehicles, personalized payments, I don't need to go through all of this, but you can see when you actually operate and use the tool what it has. And to me, it was a way for us to get into the market without spending millions of dollars on the other hand utilizing our capability with Cox. Now on the other hand, you really got to look at the three pillars we have. One would be obviously today would be CarShop. We will also start to bring in our used car and the OEM network into this CarShop population. So we have more vehicles for sale online which will happen as we go through the next few months. And then after that you look at the preferred purchase product that we have at Penske cars and also in the UK or the Sytner online. And I think our growth strategy is the right one. We'll have bricks-and-mortar and we'll also have online. And I think at the end of the day, I can't give you that we're going to grow it at a multiple it's higher than realistic. And I think that our growth target today of 150,000 by 2023. I think it's really realistic and we're going to be doubling the size of our business during that period going from 19 to 40 locations. 
John Murphy: Got you. That's helpful. And then just lastly on the M&A front, which I mean you constantly do but you don't get a lot of airtime on. During the quarter you did $600 million between KCFL and a couple of dealerships. I mean you talked about what's in the pipeline. But if we think about a full year and I know this is kind of a tough thing to do because valuations and deals are a little bit squarely to get over the hurdle and finish. But I mean as you think about the full year I mean, what would you roughly think run rate on acquisitions would be? I mean because we're hearing a lot of targets from other companies but you don't really talk about the targets you just do it. So I'm just curious what you think about for this year and how we should think about acquisitions going forward. 
Roger Penske: It's hard for me to tell you what we're going to do in 2022, 2023 and2024. But I can say this that we think that we'll have annualized revenues not including the open points. We have $1 billion in 2021. And we have a pipeline that's more than that from the standpoint of the additional $400 million we already have going into 2022. So we feel good about it. But on the other hand we want to be very selective from the standpoint of what we're going to do from the standpoint of our purchasing of dealerships because at the multiples today, I think we've got to look at just exactly, where we are what's the benefit of -- is there a consolidation in the market the back office so because we've driven because of scale, we want to focus on premium and luxury and probably volume in foreign. We want to grow our commercial truck footprint as we've talked about before because the returns on those is better than the retail auto at the moment. And certainly the multiples in some cases are half with little more CapEx, which obviously, is something we need to take a look at. And then we got to look at the value proposition between stock buybacks and acquisitions both in truck and in car. 
John Murphy: Got it. So if we were to roll in those two open points in addition to what you think you're going to get done on the M&A front, I mean you're talking about north of $1 billion probably $1.1 billion to $1.2 billion in acquisitions and open points this year roughly. Is that a correct characterization? 
Anthony Pordon: I think on timing. 
Roger Penske: That's correct, yes. That's correct.
John Murphy: Okay, great. All right. Thank you very much, guys. I Appreciate it. Thank you, Roger.
Roger Penske: Thanks, John.
Operator: Thank you. Our next question comes from the line of Michael Ward with Benchmark. Your line is now open. 
Michael Ward : Thank you . Maybe just a follow on with what John was addressing. Roger, can you talk a little bit about how you evaluate some of these growth investments? How do you prioritize them? Because you have a unique position. You can go US retail you go UK heavy-duty truck, CarShop, cash returns. How do you evaluate them? Is it just straight return on capital? 
Roger Penske: Well I think is there synergy because we have that same brand in the market. We bought the two Lexus stores in Austin which would be a perfect example of moving into a market, where we already had capability in the premium luxury we would always look for those types of acquisitions. At the moment, I don't think we have big acquisitions in mind because many times, there's two or three that maybe don't fit your model. We would certainly look at what is the requirements for CapEx, at this particular time when we are going in paying the kind of multiples you have to. And then at the end of the day we got to be sure that this is an acquisition that fits our scale from the standpoint. It was a truck dealership and does it fit our network because today as we look across the country for the Freightliner business to have a network that's really key for us as we go forward. And the acquisitions obviously, got to be a lifetime. It's just not one we buy today and sell tomorrow which I think is, key. And then of course you look at the returns and we're seeing the cash returns or just the book returns. And to me that's going to be key. For the skin as I look at it and what is also the people. Today it's easy to buy something it's hard to run them and what kind of people human capital you get with these acquisitions. And I would say that now is becoming more and more important does the seller want to stay with you? What's the management team. These are all key. And then you also have to deal with the framework agreement. All of us have framework agreements, which limit us by the way that certain acquisitions in certain markets and also the total acquisition that we might have with an OEM. So many of us are going to be bumping up into those types of ceilings as we go forward. And I think that's going to be key along with certain stringent CSI requirements. 
Michael Ward : Thanks, Roger. Shelley I wonder if you could talk a little bit about the balance sheet restructuring that's taken place over the last 12 months. Specifically, it seems like your maturity profile has greatly improved. What impact does it have on the income state going forward? 
Shelley Hulgrave: Sure. Thanks Mike. We consider our refinance in May to be very successful. We reduced our interest rate by 175 basis points. We extended our term out eight years. So all of that secures lower rates well into the future. That refinance resulted in annual savings of $8.8 million annually. And when you look at that combined with our refinance and repayments from 2020 we're looking at annualized savings of about $36 million or $0.33 per share. We also had $12 million in floor plan interest savings year-to-date. That's down about 40%. 
Michael Ward : So if I look out over the next 18 months I mean the cash flow in the first half was through the roof. And even if we don't assume that's going to continue. When you kind of look at your capacity your current liquidity your debt capacity the cash flow it seems to me that there's $2 billion to $3 billion of kind of firepower. Is that the right way to think about it? 
Shelley Hulgrave: Yes. Like you said, we generated $900 million in cash flow from operations but we were able to self-fund $280 million in acquisitions. We returned $110 million to our shareholders. Invested $90 million in CapEx, particularly for the CarShop expansion and those open points and still repaid $170 million in debt. So we'll continue to focus on that. We like our strategy. As Roger said, dividends remain a priority and we have those acquisitions in the pipeline. We'll complete those open points. And we're incredibly focused on the CarShop expansion. So yes, I think your estimate is correct.
Michael Ward: Okay. And then just lastly I think a while back I think you guys put out like a target of pre-tax income of about $1 billion. And I think you're blowing through that a lot sooner than expected. Is there a new target to think about? Or is it too early for that?
Roger Penske: I think when we talk about the target that we had talked about at the $1 billion in 2023. Mike, we certainly had a great year so far this year and we will surpass our $1 billion PBT target maybe sooner than we anticipated. Year-to-date, EBT is $728 million, $449 million from $133 million last year. The business is strong. We think based on maybe supply chain issues is still going to remain strong through the balance of the year. And based on the current environment, the inventory supply of light vehicles and commercial trucks still could be challenging. But we think our business to continue we'll grow well beyond $1 billion EBT target. But however, we're not going to give you a number today. I think that wouldn't be the right thing to do based on with all the things that are circling at the moment. But our focus is going to be remain expanding our CarShop businesses and making strategic and opportunistic acquisitions driving and driving further cost reduction. So again, I think all the levers we've been pulling the market, inventories the products we represent and our PTS investment our heavy truck investment all of this has certainly paid off to get us where we are this for six months.
Michael Ward: Well, thank you. Thank you, everyone.
Operator: Thank you. Our next question comes from the line of Stephanie Moore [ph] with Truist. Your line is now open.
Unidentified Analyst: Hi, good afternoon and congrats on a good quarter.
Roger Penske: Thanks, Stephanie.
Unidentified Analyst: I was hoping you could talk a little bit about what you're seeing particularly with your UK business both from a supply standpoint as well as demand has obviously come back up tremendously and up year-over-year. But any impact from spikes in COVID cases? Or how would you characterize the overall environment, especially compared to the US? Thanks.
Roger Penske: Well, I think when you look at this year we just opened – the dealer reopened on April 12. Since then I think you'd say business has been brisk due to registrations were 154,000 versus 56,000 in the second quarter of 2020. And our business at Sytner was up 153% versus last year. And to me that bodes well for the future. Still we're seeing the parts and service business recover slowly. People are just told not to move around the countries. You've seen that. It's been locked down to people coming from Europe, et cetera. They just opened it here in the last I think 24 hours. From a used car perspective, when our showrooms were closed, we really had an impact on used. Even in CarShop, we were selling about 5,000 units going back to about 2,500. Let's kick back into gear here in June and going into July, we feel good about that. We still see a shortage of product. Obviously, when you think about right-hand drive vehicles have to be made special. So we're going to continue to see some shortage of vehicles based on supply chain disruption. But similar on supply to the US, I think the consumer there's pent-up demand. There's no question about it. And certainly on the premium luxury side, we have leadership in all the key brands there and continue to hold that.
Unidentified Analyst: Excellent. And then just switching gears to your Penske Transportation Solutions joint venture, obviously had a record quarter and pretty tremendous results that I think you called out not only some nice top line trends but some gain on sales for – with used trucks as well. I mean can you call out anything in the quarter that you thought was kind of onetime specific or unique to just this environment or really just given the strong freight environment we're seeing now should a lot of this continue as we kind of go through the balance of the year? Just any help – any color there would be helpful. 
Roger Penske: I think what I would call out is we're now up over 330,000 vehicles, which is a big growth from the standpoint of units in generating profit. And remember that when you look at our logistics business and you look at our leasing and contract maintenance business, all of those have multiple year contracts with economic escalators. So this is not just the rental business. So we see that growth is really strong. The Black Horse acquisition of $600 million in revenue at the end of 2020, certainly has kicked a lot into gear. There's no question about that, and that has helped us. But when you look at what might be different. I think the 87% utilization across our rental fleet, with all the action in the marketplace today we don't have enough trucks and we've added more trucks into the fleet. So that's given us obviously margin and also sales. So I'd say that would be one thing that would be key from a consumer rental this is the one-way rented here leave it there with all of the people moving out of the core cities Portland, Seattle, San Francisco, L.A., New York, Chicago we're seeing that product line really on fire. People want to move out of these big cities and the rental distance is longer. Obviously the RPT which is rental per transaction has gone up significantly. So those two rental products probably have driven some bottom line benefit that we might not have seen to the extent we saw during the second quarter. Our gain on sale quite honestly with $45 million, which was nothing really on a sight from the standpoint of the future and I think that at the end of the day, we've seen that being steady. But again, because of utilization we don't see as many used trucks right now that we have available for sale. So we'll see that even grow as we take some of these new units in as we add new customers. We have over 20,000 units today believe it on order with the OEMs. And our big challenge is to get those on time to meet our customer demand. 
Stephanie Moore: Got it. Well, really appreciate everything. Thanks so much.
Roger Penske: Thanks, Stephanie.
Operator: Thank you. Our next question comes from the line of Rick Nelson with Stephens. Your line is now open.
Rick Nelson: Thanks. Good afternoon, Roger, Tony and Shelley. Roger, the OEMs as well as anybody in the business. Curious your thoughts when supplies do normalize, do you think they're going to run tighter on inventory than they have in the past? Everybody is more in profitable type of environment, but curious to hear your thoughts.
Roger Penske: Look, we've had a year to reengineer our businesses take deeper look at costs. It's one thing to look at cost, but it's also always to look at margin and bottom line. And I think with this inventory issue and for many different reasons not all microchips or other I understand on heavy trucks today it hires even. But at the present time the OEMs that I'm talking to at higher levels understand it. They understand that their costs are down on supporting inventories being able to not have to support extra bonuses for the dealer people the incentives for customers buying down rates this all has been very attractive to them. And I hope that, they see this, and we certainly are preaching that to them today because what happens is this wave is raising all boats, and hopefully at that point, they'll understand that we don't need to push. The problem is, if they start building units to fill these plants that aren't the ones that customers want we're then going to start to see an inventory pickup of vehicles that are not ones that people want to buy and then it's going to start turning going back into the same direction we were before. So I think that the main focus should be what is selling, what has sold, and really reducing many of the product lines that they have. Now that's me talking not the OEMs around the table. But Rick, I do think that, there's a conscious effort not to have to be the leader in the clubhouse let's be the leader for the customer at the dealership level with the consumer our guests and also with the shareholder. And I think that's got to be the focus. And I think the Street will expect and we expect the profitability. On top of that, they've got billions of dollars that they're committing now to electrification and hydrogenation. So to me, this is one way to be able to generate that cash flow.
Rick Nelson: Great. Thanks for that color. Also you mentioned that, you guys are curious how you see that impacting the service and parts segment. Any early learning's along those lines?
Roger Penske: Well, let's think about 300 million vehicles in the marketplace. And I think the average age is approximately 12 years old. And over the last five years, what the market you know better than I do has sold about 83 million vehicles. 98% of that's been ICE. So the bed park is 2%. And I think that we're supporting certainly our OEMs with EV. EV is going to be driven by political, it's by governmental, we see it much, much more pressure in Europe than we do obviously in this country. And I think the national infrastructure is going to be something that's going to make a big impact on that. Now from a dealership standpoint, until we get a significant market of EVs I don't see a big issue from the standpoint of my parts and service growth. It's going to take a different technician. It's also going to be from a safety perspective have to be done at an OEM-compliant dealership. And I think that initially we might see more work, because of the technology. Remember, if you go to Hudson Toyota over in Jersey City, we were supplying most of the pieces in New York for cabs for a number of years, and we learned how to take care of that. But there was warranty along with that. And I think that we'll see some interface with EVs. Now, I don't know what the actual impact will be when will be the shift, when will be the pivot. But the warranty will have to be done by us and we'll also obviously have to deal with the complexity. So, I think it's a jump all right now. Certainly, it's not going to take anything away from us over the next 12 to 24 months for sure. And again, I'd say the national infrastructure is going to drive that.
Rick Nelson: Thanks for all the great commentary and good luck.
Roger Penske: Thanks Rick.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Rajat Gupta with JPMorgan. Your line is now open. 
Rajat Gupta: Hey great. Thanks for taking the question. Just had a question on the parts and service business just following up on Rick's question. Any commentary on how the linearity was in the quarter? April, May, June how those months progressed through the quarter in the business? And how are you seeing early 3Q tracking in that business? Any color across like the different segments customer pay warranty body shop would be helpful. 
Roger Penske: Sure. Well when you look at -- let's look at the quarter and when we look at the company globally we understand that the U.K. was shut down in certain cases because of showrooms that would have impacted our internal business, there's no question that we're seeing over the last three months growth in customer labor. We see warranty is really down and we came from a low base after Q1 in the body shop and we see that all coming back. In fact we had some locations in the U.S. that I know for sure actually were better than they were last year from the standpoint of parts and service gross profit. So I would say trajectory wise, it's coming back. People are now starting to drive vehicles. In fact, we're out calling our customers saying them, it's not just the miles driven time you need to bring your vehicle in for service. So we're being very proactive on that. And I think from a quality standpoint we're -- even though we see these recalls every day in the paper, I think we're seeing many of the OEMs have given us a better quality product which in some cases is driving warranty down. 
Rajat Gupta: Got it. Got it. That's helpful. And I had a question on just the U.K. market in general. A lot of the OEMs have been recently talking more about like the agency model there. Just curious as to what kind of conversations you're having with the OEMs right now? Anything going on behind the scenes that might be changing how the structure might look like there. Just curious on your thoughts there and what kind of impact can that have on the business? 
Roger Penske: To put it in perspective we won't see an agency model here in the U.S. and I don't think we'll see an agency model in China. I think Continental Europe Mercedes has been invoicing cars for their dealers in Germany for a number of years. I'm not sure how that ties into a complete agency model. They've had agency models for big fleets. And in fact when you look at even our truck business here in the U.S. from a leasing perspective that you could say is on an agency model. Right now, as I said I think they're applicable to Continental Europe. We're having ongoing discussions to understand what impact that would have on the customer and the customer experience. But I think we're a long way off. I see in the U.K. today, I saw something that came across or they're even going to look at the competition level within the government to see if agency models have any impact on what you would call a retail franchise. So, I stay tuned. I think there's many laps to go before this race is over as far as agency agreement. 
Rajat Gupta: Got it. Got it. That's helpful. And just lastly on electric vehicles. Obviously a very small sample size today for the business. But anything that you're seeing that's different in terms of the F&I attach rates or just the F&I per unit or anything like from leasing versus buy mix for those vehicles? Thanks.
Roger Penske: I don't -- can I be honest with you I'll let Tony call you on that one. I can't give you anything on the phone here today that would be probably an important answer to that particular question. We're looking at EVs obviously, quite honestly when we look at EVs from the standpoint I think the residual value is going to be the most important thing. The big are, what's it going to be? You buy one today that has 300-mile range and the same vehicle two years from now it's got 500. What year is going to be worth.  And I can tell you the OEM is not going to give you a different battery. So that's going to obviously have an impact from the standpoint of pricing. And a lot of these are second vehicles at least the premium ones are and people want to turn those on a lease basis and not buy them. So I think there's going to have to be a certain amount of support from the OEM themselves to support a lease program on EVs. I can tell you that the ones I've driven have been real sporty. I think that the infrastructure adaptation is going to be critical in order to be able to support that long term. And that to me is not going to be what we do at the dealership level. We're committed to brands like Porsche and Audi and some of these big BMW to have capability short and long-term capabilities for fast charging. And we're investing in those today. So we're not certainly walking away from the product. We're supporting it.
Rajat Gupta: Got it. Great. Thanks for all the color, and good luck.
Roger Penske: Thanks, Rajat. Thanks.
Operator: Thank you. Our last question comes from the line of David Whiston with Morningstar. Your line is now open.
Roger Penske: Hi, David.
David Whiston: Thanks. Hi, everyone. I guess first on the -- Roger you made a comment on framework agreements earlier and hitting a ceiling, and obviously everyone knows in this industry that's the largest groups are going to keep consolidating and getting open points and factories that I think want those larger groups to have the open point. So are we at a point right now in 2021 where the largest groups maybe need to be a bit more aggressive in demanding change to these framework agreements of slated growth?
Roger Penske: Well, I think a framework agreement is individual. It's not the same for everyone. It's based on your size, your capital, maybe the brand experience that the OEM might have. But I think it's -- right now these are pretty much ones that you signed, if they decide over a period of time to change that. Obviously, that could be key, but it might be on how you're performing. This is just not having six Toyota dealerships in one city. It's how many are meeting the sales targets, how many meetings the service, how many are meeting the customer satisfaction. So there's more than just what I would call performance data from the standpoint of units and maybe parts and service sales, I think there's other metrics that come into the play. But I think that they're going to look at this now. It's been said before because of the -- let's say I'm going to take the peer group that we're in the public companies, the investments that we're making in technology all of us and I think everyone has done a great job. The real commitment on facilities, we're talking about hundreds of millions of dollars in CapEx drives probably a real discussion about to open those up based on experience, based on performance. So I don't think you're wrong and I'm not sure we get aggressive. It wouldn't be the word I would use. I think that there -- you can have a pretty good reasonable conversation about what you might want to do on your framework. Now today, they've got a framework agreement I'm sure for Hummer. And there's an agreement to have a bronco separate site. These are all things that will be looked at. Now on the truck side quite differently. I know that Freightliner has decided they would rather have more partners and less or less partners and more, because then they can take into consideration this network of capability and utilizing obviously the technical capability to take care of their customers because it's not just a local customer with a truck customer. It's one that travels the country. So I think it's a little bit different on the truck side. But certainly, based on performance, I think as you said you could have a conversation, but we do have framework agreements and I don't think they're going to bend them just overnight because you want to buy six more stores in a market.
David Whiston: Okay. Thanks. That's helpful. And then on the Cox Essential platform, I guess can you just talk a little bit about the rationale for getting a partner as opposed to trying to do something yourself? Is that purely a time and money trade-off that you thought about are some -- were there some other variables? Could this eventually be also used for new vehicles? And could it eventually replace preferred purchase?
Roger Penske: Well look number one, we all go back 12, 14 months maybe 18 months ago and we're all talking about buying online. You can buy all the way from A to Z. We looked at it. There are a number of products out there, but at the time, we decided that based on getting to market with a proper product, let's look around and see who really is the real leader in capability around the auto business. Now we talked to a number of people and finally we landed with Cox because they've been the ones that helped us develop our preferred purchase product. So we went to them and we determined that with our human capital and really our domain expertise along with what they were able to do that we put a team together and they worked for 12 solid months. I mean, I was in a number of the meetings and it was roll up your sleeves and go. And I think what we agreed to do is come out with the best product. That gave us the ability to have that working as we continue to run our business. From a Cox perspective, it was our people supporting the process. And the outcome obviously we think we have a world-class product. From the standpoint of going forward, we now have only our CarShop used car businesses in using that product. We will expand that into our OEM network used car business where we go from a new perspective. At this point, we've not made that decision.
David Whiston: I'm sorry. So you say you are eventually going to go to new or you haven't made up your mind on that?
Roger Penske: We've not made -- I think we got a step one was CarShop. Step 2 obviously is integrate all our used cars that we have online within our OEM used business. And at this point, we've not made a decision on where we're going to go from a standpoint of new that will be something we'll look at in the future.
David Whiston: Okay. And just one last question probably for Shelley or Tony. I know it's maybe early to ask, but if the Biden administration does increase US federal corporate tax rate, I know you've got some large international exposure. Can you say at all what your sensitivity on your tax rate would be say for every 100 bps increase in the US rate?
Shelley Hulgrave: Sure. So there's a lot of subjectivity and a lot of discussion going on. But if the rate were to increase to 25%, our blended tax rate would increase by a minimum of 3.74%. So we'd also need to take a look at revaluing our deferred tax liabilities and that impact would be about $130 million at 25%. So just like we took them down a few years ago, we'd have to take those liabilities back up. If it went to 28%, we're looking at 6.5% to seven percentage points, when you combine that with the increase of the UK.
David Whiston: Okay. Thank you. Very helpful.
Operator: Thank you. There are no further questions. I will now turn the call over to Mr. Penske for closing remarks.
Roger Penske: Thank you everybody for joining us. We look forward to talking to you after Q3. Have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.